Operator: Good morning. Welcome to the Waters Corporation Second Quarter 2023 Financial Results Conference Call. All participants will be in a listen-only mode until the question-and-answer session of today’s call. This conference is being recorded. If anyone has any objections, please disconnect at this time. It is now my pleasure to turn the call over to Caspar Tudor, Head of Investor Relations. Please go ahead, sir.
Caspar Tudor: Thank you, Ivy. Good morning everyone and welcome to the Waters Corporation second quarter earnings call. Today, I’m joined by Dr. Udit Batra, Water’s President and Chief Executive Officer; and Amol Chaubal, Water’s Senior Vice President and Chief Financial Officer. Before we begin, I will cover the cautionary language. In this conference call, we will make various forward-looking statements regarding future events or future financial performance of the company. In particular, we will provide guidance regarding possible future results and commentary on potential market and business conditions that impacts Waters Corporation over the third quarter of 2023 and full year 2023. These statements are only our present expectations and actual events or results may differ materially. For more details, please see the risk factors included in our most recent annual report on Form 10-K, our Form 10-Qs, and the cautionary language included in this morning’s earnings release. During today’s call, we will refer to certain non-GAAP financial measures including in our discussions of the results of operations. Reconciliations of the non-GAAP financial measures to the most directly comparable GAAP measures are attached to our earnings release issued this morning and in the appendix of our presentation, which are available on the company’s website. Unless stated otherwise, references to quarterly results increasing or decreasing are in comparison to the second quarter of fiscal year 2022 in organic constant currency terms. In addition, unless stated otherwise, all year-over-year revenue growth rates and ranges given on today’s call, are given on a comparable organic constant currency basis. Finally, we do not intend to update our predictions or projections, except as part of a regularly scheduled quarterly earnings release or as otherwise required by law. Now, I’d like to turn the call over to Udit to deliver our key messages for the quarter. Then Amol will provide a more detailed look at our financial results. After, we will open up the phone lines to take questions. Udit?
Udit Batra: Thank you, Caspar and good morning everyone. Before diving into the results, I would like to start by saying that I'm very proud of how our teams have executed this quarter. We delivered a solid performance across our end markets despite a challenging environment and a stronger-than-expected slowdown in China. Our revitalized portfolio is driving results in areas of high unmet need as our newly launched products continue to gain traction and we're well-positioned for future growth as we make meaningful progress and make further investment in our high-growth adjacencies. Turning to our results. In the second quarter, we delivered at the high end of our guidance with 3% organic constant currency growth. We also had a great start to the Wyatt acquisition, which performed ahead of expectations and contributed 2% growth for the quarter. Overall, constant currency growth was 5% and our as-reported growth was 4%. Our organic constant currency performance was led by strong growth in the Industrial segment, which grew low double-digits and the academic and government segment, which grew over 20%. In both of these end markets, mass spec grew over 40%, as our revitalized portfolio saw continued strong demand. In the pharma segment, which declined 4%, both the US and Europe grew high single-digits, showing initial signs of recovery in pharma spend. However, this was more than offset by significant worsening in the China pharma market as weakness broadened beyond CDMOs. The weakness in China also impacted our instrument growth, which declined 2% in the quarter. When excluding China, instrument growth was 8%, led by mid-teens instrument growth in the US and low double-digit growth in Europe. Meanwhile, our recurring revenue grew high single-digits, driven by increased service plan attachment and chemical e-commerce adoption. Our non-GAAP earnings per fully diluted share came in above our expectations at $2.80, driven by operational excellence across pricing and procurement as well as our cost actions. On a GAAP basis, our earnings per fully diluted shares were $2.55. Despite the challenging macro conditions, our commercial execution remains strong. So far this year within instruments, mass spec has grown high-teens on both a year-over-year and two-year stack basis as our commercial teams have capitalized on the strength of our renewed product portfolio. Our TA instruments division has also seen strong results despite macro challenges, having grown low double-digits year-over-year and on a two-year stack basis. Our commercial initiatives and strong execution have enabled high single-digit growth in recurring revenue. We have already achieved our goal of increasing service plan attachment by a further 100 basis points in 2023. We're now targeting an additional 100 basis points of expansion over the remainder of the year. The strength of our execution and the quality of our service offering is helping us drive this growth, and there is further runway ahead. Price is also a key part of our execution where we built commercial muscle and discipline in recent years. We've achieved strong results in price over 200 basis points so far this year. With our operational excellence, we expect to meaningfully expand our margins this year. For the first half of 2023, our gross margin is 58.9%, which is an expansion of 110 basis points versus the first half of 2022  For the full year, we expect to deliver a gross margin of 59%, which is 100 basis points of expansion versus last year. We also expect to deliver an operating margin of 30.5% this year, which is 30 basis points higher than last year. Our revitalized portfolio is also driving results in areas of high unmet need. I would like to share a few specific examples. First, in the industrial segment, we're seeing strong growth in PFAS testing, and we are towards the beginning of a multiyear growth opportunity. Our growth in PFAS testing is twice as fast as the 20% estimated market growth rate as we continue to take share with our Xevo TQ Absolute mass spec. In the academic and government segment, our high-res mass spec portfolio is seeing strong adoption at a time where global funding for R&D applications continues to be elevated. Select Series MRT is unique in the high-res mass spec market due to its enhanced resolution at high speeds, which gives it unique capabilities for metabolomics and imaging applications where throughput requirements are high.\ At ASMS recently, we announced new enhancements for the MRT, which increases imaging resolution by 50% and boost sample throughput even further. Earlier this year, we launched Alliance iS, which we believe is the most significant innovation to hit pharma QA/QC in the past decade. We've continued to see strong interest in its launch and several customers have already made plans to replace their LCs with this new industry leading platform. We now have not one but two new industry-leading LCs for QA/QC applications in pharma, Alliance iS and Arc HPLC. Both of these instruments answer significant unmet needs in the market, which continue to drive long-term growth in instrument replacement. And in our TA division, new product launches such as powder reology accessory and the battery cycle microcalimeter have supported growth in battery testing for electric vehicles. Battery testing is a fast growing market, and we are well-positioned to support demand for characterization that will lead to safer and better performing batteries. The strong results we've achieved in growing markets like batteries have allowed us to deliver double-digit growth in TA so far this year despite the challenging environment. We remain well-positioned for future growth and the long-term fundamentals of our business have never been better. While instruments are always prone to short-term fluctuations in spending patterns, instrument growth has been highly resilient on a long-term basis with average growth of about 5%. As we look ahead, the demand profile for our instruments has only strengthened versus this historical trend. Total global prescription drug sales, which is a key driver of instrument volume growth are expected to exceed historical growth rates for the foreseeable future. And our potential is further enhanced by the measures we have put in place to improve pricing where we expect to sustain 100 to 200 basis points improvement versus historical levels. In addition, the growing adoption of analytical instruments in process development and process optimization of large molecule therapeutics is a new growth vector for our business. Here, novel modalities require more advanced characterization techniques like mass spec and light scattering that have not been used in the past. We believe that this trend will not only continue, but will also pave the way for adoption of analytical instruments in high-volume, recurring applications and large molecule manufacturing. We expect this to occur as they become embedded within process control, QA/QC and raw material testing over time. We remain focused on nurturing this growth opportunity with our continued investment in bioanalytical characterization and bio separations. In bioanalytical characterization, which is a $1.8 billion total addressable market with a 10% to 12% projected annual growth rate, we've been investing both organically and inorganically. We recently closed the acquisition of Wyatt, which expands our ability to characterize large molecules across various stages of production beyond that of what we can do with LC-UV and LC mass spec alone. We also recently announced an expansion in our collaboration with Sartorius from upstream development into downstream manufacturing. So far, in upstream process development, we've demonstrated that bearing BioAccord Arc line with the Sartorius Ambr 15 and 250 bioreactors has enabled bioprocess engineers to accelerate clone selection results from weeks to a matter of hours. Now our expanded collaboration will integrate our technologies further. We will develop analytical solutions that are in line and offer real-time monitoring of process controls and critical quality attributes in the bioreactor. By offering bioprocess engineers access to comprehensive analytical data for downstream batch and continuous manufacturing, we can support improved yields while reducing waste and lowering biomanufacturing costs. Finally, in Bioseparations, which is a $1.4 billion total addressable market with an 8% to 10% projected annual growth rate, we recently announced a multi-year research collaboration with Princeton University. The goal of this partnership is to advance research and drug discovery and development using novel bioseparation techniques that we're developing for large complex biomolecules. We also just introduced our first release in the new line of size exclusion chromatography columns, which are designed for the separation and analysis of viral vectors in applications such as gene therapy. Our new XBridge Premier GTx BEH SEC columns reduced the cost of gene therapies by using 3 to 10 times less sample than other methods, while generating faster results and providing more drug substance information. They can measure aggregation, titer and low molecular weight impurities at twice the speed of existing column at 50% greater resolution. The combination of these columns with wired multi-angle light scattering will deepen the level of information that can be acquired from a single experiment. This will accelerate development times of modalities such as adeno-associated viruses or AAV and allow for more optimized manufacturing, which can reduce costs. Turning now to our updated 2023 guidance. The slowdown in the pharma end market in China has progressed beyond CDMOs resulting in broader weakness. As a result, we now expect China to decline low double digits this year versus our prior expectation of low digit -- low single-digit growth. This translates to a full year growth headwind of approximately 200 basis points versus our previous guide. Our guide does not assume any benefit from a new round of stimulus in the second half of the year. While our funnel remains healthy, we also continue to see slower than usual funnel velocity from customers more broadly. Assuming that, this trend continues through the rest of the year, we expect this to translate to a full year growth headwind of approximately 100 basis points versus our previous guide. As a result, we now expect our revised full year organic constant currency growth to be in the range of 0.5% to 1.5%. Despite our lower revenue guide, we are proactively managing our cost and productivity while continuing to preserve our investments in future growth. In July, we made some very difficult but necessary decisions to realign the workforce in our core business, which impacted just under 5% of our employees. These actions allow us to better align our resources with our growth strategy and offset the incremental demand weakness that I just described. This, together with our focus on operational excellence across pricing and procurement is expected to deliver a gross margin of 59% this year, an increase of 100 basis points versus 2022. We also expect to expand our operating margin approximate to approximately 30.5%, which is an increase of 30 basis points versus 2022. These actions allow us to mitigate EPS headwind from lower expected revenue, resulting in our updated full year EPS guidance of $12.20 to $12.30. Now, I will pass the call to Amol to continue covering our second quarter financial results and give additional commentary on our guidance. Amol?
Amol Chaubal: Thank you, Udit, and good morning, everyone. In the second quarter, sales grew 4% as reported. Organic constant currency sales grew 3% as Waters division grew 2% and TA grew 11%. We had a great start to the Wyatt acquisition, which exceeded our expectations and added 2% constant currency sales growth. FX was a 1% headwind in the quarter. In organic constant currency by end market, Pharma declined 4%, industrial grew 11% and academic and government grew over 20%. In pharma, high single-digit growth in the U.S. and Europe, was more than offset by a pronounced slowdown in China pharma, which declined over 40%. In industrial, Waters Division and TA both grew low double digits with broad strength across all regions. In our Water business, strength was led by food and environmental testing where we saw continued strong growth in global PFAS testing applications driven by our Xevo TQ Absolute mass spectrometer. In TA, growth was led by thermal analysis and microcalorimetry. We again saw strong demand in secular growth drivers such as batteries and electronics testing, which more than offset weakness in more cyclical revenues from materials and chemicals. In academic and government, there was continued strong demand in upstream applications from our refreshed mass spec portfolio supported by elevated funding levels across the globe. Mass spec sales more than doubled in the U.S., grew approximately 50% in Europe and grew 30% in Asia. By product, strength was led by our high-res mass spec portfolio with applications in metabolomics and spatial biology, resulting in strong growth for cyclic IMS and Select Series MRT. Now by geography, sales in Asia declined 5%, the Americas grew 7% and Europe grew 9%. In Asia, China declined high-teens. Excluding China, Asia grew 6%, with India growing high single digits and Japan growing mid single digits. In the Americas, pharma grew 6%, led by 7% growth in the U.S., industrial grew 3% and academic and government grew almost 30%. In Europe, pharma grew 7%, industrial grew 6% and academic and government grew over 35%. In both Americas and Europe, these results reflect two-year stacked growth of high single digits or above across each of the end markets. By products and services, instrument declined 2% overall as mass spec growth of almost 20% and double-digit growth in TA Instrument Systems was more than offset by China pharma demand weakness led by LC. Recurring revenues grew high single digits. Chemistry growth was supported by continued strength in MaxPeak Premier columns, which grew over 50% in the quarter. Service growth continues to be supported by strong pull-through from recent instrument sales and increasing service plan attachment, which has already increased by another 100 basis points in the first half of the year. There was no change in the number of days versus the prior year quarter. Gross margin for the quarter was approximately 59.3%, an expansion of 230 basis points compared to 57% in the second quarter of 2022. Operating margin for the quarter was approximately 29.6%, an expansion of 120 basis points compared to 28.4% in the second quarter of 2022. Our margin expansion was driven by strong operational performance with pricing gains, lower material and freight costs as well as prudent management of spend. Our effective operating tax rate for the quarter was 17.2%. Average share count came in at 59 million shares, which is about 1.5 million less than the second quarter of last year. On non-GAAP -- our non-GAAP earnings per fully diluted share was $2.80. On a GAAP basis, our earnings per fully diluted share was $2.55. A reconciliation of our GAAP to non-GAAP earnings is attached to the press release issued this morning and in the appendix of our earnings call presentation. Turning to free cash flow, capital deployment and our balance sheet. We define free cash flow as cash from operations, less capital expenditures and excludes special items. In the second quarter of 2023, free cash flow was $73 million after funding $47 million of capital expenditures. Free cash flow is impacted by higher inventory balances, timing of income tax payments and wire transaction expenses. We maintain a strong balance sheet, access to liquidity and a well-structured debt maturity profile. This strength allows us the ability to prioritize investing in growth, including M&A and returning capital to shareholders. We continue to evaluate M&A opportunities that will meaningfully accelerate value creation in well thought-out, attractive adjacent markets. At the end of the quarter, our net debt position was approximately $2.3 billion, which is a net debt-to-EBITDA ratio of about 2.3. This represents an increase of $1.3 billion during the quarter, which is related primarily to the Wyatt acquisition. As we previously disclosed, we have temporarily suspended our share buyback program for the remainder of the year to use our free cash flow to delever the acquisition. Now I would like to provide our updated thoughts for 2023. As Udit outlined, the slowdown in China pharma has progressed beyond CDMOs, resulting in broader weakness. As a result, we now expect China to decline low double digits this year versus our prior expectation of low single-digit growth. This translates to a full year growth headwind of approximately 200 basis points versus our previous guide. Additionally, while our funnel remains strong, we are observing longer capital purchasing approval cycles amongst our customers broadly due to spending caution in the current environment. We expect these dynamics to continue through the rest of the year and contribute an additional 100 basis points full year growth headwind versus our previous guide. As a result, we are updating our full year 2023 organic constant currency sales growth guide to 0.5% to 1.5%, which translates to a 2-year stack growth of approximately 6% to 6.5%. At current rates, currency translation is expected to have a minimal impact on the full year sales. Consistent with our prior expectations, we expect wire transaction to add approximately 2.5% to our full year 2023 revenue growth. Therefore, our total reported sales growth guidance is now 3% to 4%. We expect gross margin to be approximately 59% for the year, which is 100 basis points expansion versus last year and is higher than our previous guide. We expect operating margin to be approximately 30.5%, which translates to 30 basis points of margin expansion versus last year. Cost actions in our core business are expected to deliver approximately $45 million in annualized savings and are expected to contribute $20 million in 2023, predominantly in the fourth quarter. We will progressively redeploy part of these savings to resource our growth strategy and to expand capacity on high-growth end market opportunities. We expect our full year net interest expense to be approximately $80 million. The full year tax rate is expected to remain at approximately 15.5%. Our average diluted 2023 share count is expected to be approximately 59 million, given the temporary suspension of our share repurchase program. Rolling all this together, on a non-GAAP basis, our full year 2023 earnings per fully diluted share guidance is projected in the range of $12.20 to $12.30, which includes a negative currency impact of approximately 1 percentage point at the current FX rates. Looking to the third quarter of 2023, we expect the current market dynamics to persist in China. We also expect cautious spending from our customers throughout the quarter. Hence, we expect third quarter organic constant currency sales growth of negative 4% to negative 2%, which translates to two-year stacked growth of approximately 5.5% at midpoint, given the mid-teens comp from last year. At today's rates, currency translation is expected to add approximately 1% and we expect to Wyatt to add 4% to our third quarter revenue growth. Therefore, our total third quarter reported sales growth guidance is 1% to 3%. Third quarter non-GAAP earnings per fully diluted share are estimated to be in the range of $2.50 to $2.60 with a neutral currency impact. Now, I would like to turn it back to Udit for some summary comments. Udit?
Udit Batra: Thank you, Amol. Even through challenging times in the macroeconomic environment, we continue to come together as an organization to ensure we leave this world better than we found it. With our vibrant employee circles, we recently celebrated Pride Month as well as our Fantastic Women in Engineering. We also kicked off our third year of Water Student Academy, a summer program for high school students from underserved communities who are interested in exploring a career in science. We're also very proud recognized as one of US News & World Report Best Companies to Work For. So, with that, I'll turn the call back over to Caspar.
Caspar Tudor: Thanks Udit. That concludes our formal comments, and we are now ready to open the phone line to questions.
Operator: Thank you. We would now open the lines for questions. [Operator Instructions] Our first question comes from Vijay Kumar from Evercore ISI. Please go ahead.
Vijay Kumar: Hey guys. Thanks for taking my question and congrats on a pretty impressive second quarter print here. Udit, my first one for you, mass spec was the star 19%. What is the mass spec CAGR here on a pre-pandemic 2019 basis? Could you just comment on orders and backlog? Would it be presuming for instrumentation and outlook here as you look at the back half?
Udit Batra: Thank you for your question Vijay and good morning. Firstly, on mass spec. Over the long-term, so over two years -- just to answer your question, over the two-year CAGR is in the high teens, the four-year CAGR is in the high single-digits to double-digits. The story with mass-spec, Vijay, is twofold. One is of execution and the other one is of the traction of our new products. On the new products, we launched the Xevo TQ Absolute, which meets significant unmet needs in the PFAS area where we're growing double the rate of the market. I think we've heard the market grows roughly 20%. We're growing double that rate. In that particular market, our mass spec instruments are seeing terrific, terrific traction in the high-risk space where there's additional funding that academic institutions have. And as you move to the biologics area and bioprocessing our LCMS tools like the BioAccord and the enhanced workflows that we've developed are gaining traction. So if you compare our 20% print in this quarter or year-to-date or even versus last year on stacked, it compares very favorably to some of the peers who -- some of the mass spec heavy peers who have already reported their results. So we feel very good that we're gaining share in this market. And mass spec goes from strength to strength. And to your question now on overall instruments, look, take a step back and when you look at the overall instrument performance for this quarter, it's roughly two -- roughly negative 2%. Now this is an illustration of two things: one, strong execution and traction of innovation in the US and Europe and, of course, additional weakness in China. Let me comment on both. Starting with US and Europe, instrument growth rate in the United States was roughly 15%. Europe was 11%. And China, of course, declined close to 25% for the quarter for overall instruments. Now if you look at it from a portfolio perspective, we've already discussed mass spec. Mass spec to 20%. TA continued to grow double-digit in this quarter, and this is basically meeting unmet needs in the battery segment and several other segments in addition to strong execution. You move to LC. And again, let me double quick on this to illustrate my point on execution and a bit of recovery that we're seeing in US and Europe. Whereas in China, we saw LC get significantly worse, minus 40-ish percent growth. In the US and in Europe, we started to see growth again basically 4% -- 3%, 4% growth in both of those geographies. And you'll recall, in the first quarter call, we talked about our conversations with several for large pharma customers, and I have personally spoken to them. And the quality of the orders that we saw from an instrument perspective was terrific. It was just that the funnel velocity was lower, right? So the funnel velocity is still lower, and that's the assumption for the back half of the year. But we are seeing those orders -- we saw those orders come through this quarter. In fact, we won several competitive bids with -- give you an example of one of the largest GLP-1 manufacturers, this is the anti-obesity drug, where we won a competitive bid and our UPLCs are going to be not just with the originator, but also with all the CDMOs who are going to manufacture this product. And the same thing is true for columns. So instrument growth rate has been -- again, it's a tale of two sort of stories where US and Europe are seeing a nice recovery, good execution, great traction of new products and a little bit of lack of visibility in China, especially in pharma. And then I think finally, in the prepared remarks, we showed you the long-term growth rate of instruments, roughly 5-ish percent CAGR with a 60-ish percent gross margin and the low SG&A, I mean, I'll take that business any day. Now if you compare it to historical trends, we see additional vectors for growth. Pricing is better than we've seen in the past by 100 to 200 basis points. We see prescription growth rates are going up, which is the single largest driver for growth of LCs, and we see additional users, especially in large pharma, environmental and food testing. So I hope that gives you a picture of our mass spec as well as our instrument growth rate and why we are positive about that business.
Vijay Kumar: That's extremely helpful, Udit. Amol, one for you. When I look at the third quarter guidance versus fourth quarter implied there's a pretty big sequential step up in Q4, both on the organic and even more impressive on the EPS line. Maybe just talk about the fourth quarter implied assumptions here. What's driving the sequential strength?
Amol Chaubal: Yes. So, a couple of things there, Vijay, right. I mean the step up on the growth is purely related to the baselining. So, if you look at it on a two-year or a four-year stacked basis, Q3 and Q4 guide is pretty consistent. So, on a four-year stack basis, both Q3 and Q4 are growing 6%. Two, if you sort of look at the ramp-up in dollar million sales. I mean we typically do 24% of our full year revenue in Q3 and about 30% in Q4. And so the guide is sort of consistent with that, with sort of tad caution on Q3. And so that's sort of consistent with the past. And it also sort of accounts for the fact that whatever we see in Q3 in terms of China slowdown and cautious spending with pharma will continue into Q4. And then as you look into Q4 EPS, you see a steep ramp versus last year of about 15% growth, but again, there are various factors that are contributing to it. I mean as Udit outlined, we've taken cost actions and a predominant portion of those cost action savings will show up in Q4. That, coupled with productivity gains that our teams have managed across pricing, across materials and freight, across other areas of procurement, those two things together, we get about 5% of that growth coming from the cost actions, another 3% to 4% of that growth coming out of productivity. So, that's the big portion of the 15% increase that you see in the EPS in Q4. The rest is there is 3% FX benefit. Wyatt is normal dilutive in Q4, so there is a net neutral impact there. And then there is the lower share count, about 1.5% underlying sales growth.
Operator: Next, we'll go to the line of Luke Sergott from Barclays. Please go ahead.
Luke Sergott: Awesome. Thanks. I guess, can we just dig in here from the drivers of the guide for the full year and for the remaining back half? And if you guys have any further deterioration in any of the markets baked in?
Udit Batra: So, I'll start, and then I'll let Amol comment, Luke. Thank you for the question. I mean just starting with the second quarter first and how that plays out for the balance of the year, right? I mean in the second quarter, you saw roughly 3% growth. And it's sort of different in the US, Europe and China, right? In US and Europe, we see roughly 7%-ish growth and in China, we see continued decline of close to mid-teens. And as you now look at the balance of the year, we are starting to see a bit of a recovery, both in US and Europe. And I commented earlier to Vijay's question also on what we saw on instruments. But where we sit right now, we feel China has deteriorated further and there's a bit of lack of visibility. What we saw with CDMOs has now permeated into the rest of the pharma industry. So, we've decreased our guide overall by 300 basis points, 200 basis points of that is additional China slowdown. And we -- while the orders are very strong, while the execution is extremely strong in -- across the globe, new products are gaining traction. We think the funnel velocity has been slower towards the end of Q2, and we've used that projection for the balance of the year. So we've taken down the guide an additional 100 basis. So that's a 300 basis point drop versus what we told you in Q1 on the top line. Amol?
Amol Chaubal: Yes. And I mean if you sort of go through the individual components, right, China, as we said, is a low double-digit growth for the full year. It's slightly more elevated in the second half versus the first half in our guide assumptions. Rest of the world in the first half grew mid-single digits. The assumption for the second half is low single-digits. LC sort of grew mid-teens decline in the first half, and that's sort of also our second half assumption versus mass spec and TA. Just given the situation, and we've reduced it to sort of low to mid-single-digit growth for the second half of the year. So as you see, I mean, we've sort of risk-adjusted a big portion of our second half of the year given what's playing out in the market.
Luke Sergott: All right. And then you guys have been operating in China for a while. You have a lot of history there. Can you just give us a sense of the -- how quickly the various end markets can bounce back? Like what you've seen in the past? And what you're hearing from the boots on the street over there?
Udit Batra: Luke, that's a good question. And I don't think you'll hear us saying a lot different than what you've heard from many of our peers, right? In the long-term, China is a terrific growth market, we all know, right? And you've seen that through the history. But we saw in the second quarter a mid-teens decline in China. CDMOs got worse and people are just cautious, super cautious in spending in our pharma customers, across the traditional Chinese medicine customers, you see that permeating across the board. And it's not clear when that opens up. So we've assumed that for the full year, China is going to decline low to mid-double digits. Now when you look at -- and we've also not assumed that another stimulus is coming to grow the ANG market, and we've seen pretty dynamic growth for the first half of the year, that was driven by the stimulus that came late last year, and we've assumed that there's no stimulus coming for the balance of the year until we have clear visibility. So you've seen we've been very careful and cautious, but there's not a heck of a lot of visibility. What I'd like to remind you, though, from a Waters-specific case from 2016 to 2020, whenever Waters grew and whenever Waters growth rate fell, it was all correlated to China. This is very different now. We see that the US and Europe 2020, 2021 and now also 2022 and 2023, we seen US and Europe grow and contribute to growth really, really well in addition to China. So we feel that the business is very nicely diversified, and we see that we have growth in other geographies. And I'll conclude by saying China remains a dynamic market. Our teams have visited four to five times. The global teams have visited four to five times since the last time we spoke. And on the ground, you see incredible, incredible collaboration with our customers. You see, especially in the batteries market, China is well advanced of US and Europe, and we think the adoption for our TA products is going to grow much faster in China. If you go to the specialty diagnostics arena, China again, has been a front runner in adoption of mass spec in the clinical space, and we are working with several collaborators there to introduce our high-end mass specs in that workflow. And it's a matter of time that China will recover. We feel we are very well positioned to capitalize on it when it does. But in the short-term, you will not hear us say anything different about the visibility for the balance of the year than what you've already heard.
Operator: Next, we'll go to the line of Dan Brennan from TD Cowen. Please go ahead.
Dan Brennan: Great. Thanks. Solid quarter. So, question would be on the guidance, I think. I think the question we'll probably get is after solid Q2 kind of is the guide derisked enough and it kind of makes it more difficult to parse out the super lead China and obviously, Europe and US doing better than I think we expected. So, can you just speak to a little bit again? I know you've given some color already and the comps make it difficult to kind of get a trend line here. But like how should we think about the extent of maybe a cushion that's kind of assumed in the back half of the year or just kind of the confidence in the back half of your guide?
Amol Chaubal: Yes. So, Dan, look, I mean we looked at how things have progressed through Q2. And if you look at the regions, even outside China, we have meaningfully reduce our outlook for those regions. As I said before, those regions grew mid-single-digits. Outside China, we are now estimating low single-digits. Instruments declined low single-digits. We are assuming for the second half, it will decline mid-single-digits as growth normalizes for mass spec and TA. Even recurring revenues, we've sort of stepped them down from mid to high single-digits to mid-single-digits for the second half. And we sort of assumed A&G and industrial normalize in the second half of the year. Now, based on those assumptions, we think it's reasonable given how things are playing out, I think the one wildcard still remains how out of China plays out in Q3 and Q4 because we know China goes down fast, but it also comes back fast. We haven't assumed any second half China stimulus in our number. So, if that comes, it will be an upside. But otherwise, we feel comfortable where our guide is for Q3 and for the second half.
Dan Brennan: Great. Thank you. And then maybe a I think US and EU pharma results here look really solid. I guess it's a little different in the early start of Q2 earnings season from peers that have kind of been talking now for the more. Just again, the business mix to currently make it difficult if you like direct read process. But do you think you guys are gaining share as related to maybe different business making comps? And then kind of what's assumed at the back half of the year for the US and European pharma? Thanks.
Amol Chaubal: Yes. So, I mean, Dan, look, I mean our teams in US and Europe see an exceedingly great job in Q2. Our win rates were up. They positively surprised us with great outcomes with the level of growth that they manage, right? As we look into the second half for those teams, right now, we've sort of tapered the guidance down to low single-digit growth in those regions. But the way our teams are executing in these markets gives us great confidence that they will be able to do a great job in these markets as things start to come back.
Udit Batra: Yes. And Dan, your line was breaking up a little bit. If I understand the question, you wanted a bit more color on pharma. And I guess you could ask, hey, you're seeing good trends in pharma or at least some recovery in both US and Europe. And recall that we talked about this in Q1, where we said we had conversations with large pharma players, and it was not a question of what, it was just a question of when they would place orders and some of those orders came through in Q2 and some fairly significant orders, right? I mentioned GLP-1 agonist. We are the UPLC of choice for a very large pharma manufacturer. In fact, both of them who are making GLP-1s columns replaced -- in our competitors' column, which is a rare, rare thing that happens in the industry because the customer said they wanted full end-to-end visibility on the supply chain. We are the only player in the industry who manufactures our own particles, our own columns, full end-to-end, and that gives us significant strength, right? So we saw share gain in pharma. We saw new products gaining traction in the bioprocessing arena. And you would have seen that we've just launched a column that is specifically targeted towards separating Adeno-Associated Virus. These are viral vectors used for set of gene therapy. And it brings me great pleasure to say that these are columns that are attached to our mouse [ph] instruments. So we are really executing well in pharma, wherever we have ability to access our customers and customers are purchasing. And new products are gaining traction. So for the second half of the year, we've just said, look, let's not just use one data point to extrapolate. We're looking for more data points, even in US and Europe, and we will gain even more confidence. But from where I sit today, I see excellent execution, excellent new product traction both in US and in Europe. And in China, like I said before, our visibility is just as much as others. And when China recovers, we'll execute like we're executing in U.S. and in Europe.
Operator: Next, we'll go to the line of Derik De Bruin of Bank of America. Please go ahead.
Derik De Bruin: Hi, good morning. Thank you for taking my call. Just out of curiosity, how much backlog work down left over stimulus spending did you see in Q2? And just sort of like what were orders coming through and what was sort of like -- was anything worked down as you have any backlog that got pushed?
Udit Batra: So Derik, thanks for the question. We saw very modest drawdown in backlog orders were largely in line with sales for the quarter, and we see the same thing happening for the full year. That's the same assumption. So again, an indicator that says, like to the previous question, indicator that says that, look, trends are improving, especially in the US and in Europe for our large pharma customers and other customers. But yes, in this quarter, basically very modest single digit -- low single-digit million drawdown of backlog and the same assumption for the balance of the year.
Derik De Bruin: Got it. On the academic market, just out of curiosity, are you doing -- are you seeing any pull forward in spending? I mean, obviously, there's some worries about budgets and things. Are you seeing any sort of pull forward your customers they look?
Udit Batra: Derik, as a former academic myself, I can tell you we spend when we get the money. And when you get money like we like the academician are getting now, my old professors, my own colleagues, they spend as soon as they get it, right? So it pull forward or is it catch up, you cannot tell. It's a very -- it's a very volatile market. It goes up dramatically. It goes down dramatically. And it is correlated to only one thing, stimulus. And it is correlated to only one thing, stimulus. And you see stimulus coming across the globe. And what we've seen is dynamic growth in the US and Europe. And again, our mass spec portfolio -- the high res mass spec portfolio, our UPLC, our columns have done extremely, extremely well in this market around the globe, and we've won competitive bids across the board. So, I feel very good about our portfolio in that market, although it's a volatile market, it correlates very heavily with funding. I don't think it is catch up or pull forward. It is just opportunistic. When it comes, professors have money, and they buy. And I've done that myself as a previous academician.
Operator: Next, we'll go to the line of Matt Sykes of Goldman Sachs. Please go ahead.
Matt Sykes: Hi, good morning. Thanks for taking my questions. Maybe just the first one on Wyatt, just the -- it's obviously outperforming your sort of initial expectations. Maybe talk about some of the drivers that you're seeing that's contributing to that outperformance? And you had mentioned when you had talked about the synergies at Wyatt that you would start shipping Waters columns with Wyatt. And I think previously, they were non-Waters column shipping. Is that part of the dynamic, or is it just too early? Is it more about further penetrating the markets and driving sort of organic growth with the instruments?
Udit Batra: Matt, thank you for the question. You know that we closed the deal in this quarter. And really three drivers and we've talked about them in our previous discussions, and they're all contributing, right? The first one is column attachment to malls instruments, and this has gone as planned. Our columns are being shipped with the instruments as we speak. Second, in the column space itself, we've launched columns that are custom-made for solving problems for our customers, and in this case, our most recent X Bridge GTX column that we just launched and this is -- basically this was announced yesterday, but it's starting to ship now. There -- it speeds up measurements by over 50%, reduces sample size by 30% to a 100%. And that basically saves our customers a lot of samples. So, those -- that's already happening. Second, we have talked about lead generation. There are significant hundreds of leads that are -- that have been generated in -- especially in the US and in Europe, where there's a lot of access to our customers. And as emerging biotech and precommercial biotech starts to especially in the US, we're seeing the lead generation pick up quite dramatically and some of those leads have already been converted into sales. So, that's a contribution. And the third piece that you see, which our customers are extremely excited about is the software bridge. We've basically made a lot of progress in building a software bridge of our instruments to -- our LC instruments to our light scattering instruments or Wyatt light scattering instruments. So, progress on all of those fronts that we talked about, our teams are super excited, seeing quite a good traction from our customers, especially as we start to see recovery in pre-commercial biotech and we see this also in the Cambridge Mass area.
Matt Sykes: Great. Thanks for the color. And then Amol, just on gross margins, you've mentioned a couple of dynamics that are helping drive that gross margin expansion. I'm just curious, obviously, price is a driver. But on the cost side, you mentioned sort of lower input costs on freight and materials. Are you sort of seeing some kind of leverage as the inflation comes down input costs come down as you're still increasing price? And do you expect that dynamic to continue through the balance of this year?
Amol Chaubal: Yes. So look, I mean, on both the sides, our commercial teams as well as operations teams have done a great job through Q2. The commercial teams have delivered fantastic outcomes on price, which is flowing to our gross margin. And then on the operation side, we've sort of laser-focused on managing raw material costs, managing freight costs, optimizing freight lanes, consolidating freight vendors. And we've also focused on value engineering where possible to sort of work through specifications and reduce the cost of the product. And all that is playing out through our gross margin line, which expanded 230 basis points. And we think this outperformance will carry forward in the second half, which is why full year gross margin is 100 basis points up versus a year ago. We started on this journey of operational excellence two years ago, and it's starting to bear fruit. And we are really proud of what our teams have achieved in this space.
Operator: Next, we'll go to the line of Josh Waldman from Cleveland Research. Please go ahead.
Josh Waldman: Good morning. Thanks for taking my question. Two for you. I guess, first, Udit, a follow-up on pharma. I mean it sounds like you're seeing signs of life from pharma outside of China, but it also sounds like you're seeing slower than normal funnel build from pharma broadly. I guess I wondered if you could unpack that a bit? And then, I wondered if you could provide context on what the guide assumes in regards to a budget flush, would you expect a typical seasonal ramp in the fourth quarter from pharma in the West. Is that -- I mean, is that the a driver, I guess, to the assumption for a pretty significant step-up in organic in the fourth quarter?
Udit Batra: Great questions, Josh, and thanks for the opportunity to comment on pharma more. Look, as we discussed in Q1, we are -- we see very high-quality funnels. We see customers who are really using our products to solve significant challenges. I mean the Alliance iS has gained a lot of traction on the small molecule side. On the large molecule side, we're seeing the BioAccord being used increasingly in bioprocessing applications. Our columns are doing very well. Our recurring revenues overall high single-digit for a very long time and pharma is no exception to that. You see all those trends playing out in both US and in Europe. That said, we have been cautious and we've said, look, we want to see more than one data point before we assume that the funnel velocities are increasing back to normal. They are slower across all market segments. We are seeing some green shoots in pharma for sure. We're seeing green shoots in biotech. Remember, precommercial biotech went cold both in US and in China altogether, in the US, we're starting to see that recover rather nicely. But I would like to wait for at least one more data point before I call it a complete recovery even in Europe and in the US So we are being a bit cautious with how we're seeing the funnel velocity. It's improved, but I'm not saying at this point that it's gone back to normal. But the quality of the discussions, the quality of the leads is really, really excellent across recurring revenues, meaning service, columns as well as instruments. And it's not just a mass spec story. LC is also doing pretty good and it's starting to do well in some of our pharma customers, as I mentioned, with the GLP-1 agonist where we won a competitive bid for UPLCs as well as our volumes. I'll let Amol comment on the guiding piece.
Amol Chaubal: Yes. So I mean, Josh, if you look at our Q2 results and then look at Q3 and Q4 on a four-year stacked basis, they're all 6%. So what it essentially assumes is the dynamics that we saw in Q2, which was a demand slowdown in China and capital approval cycles becoming longer, we expect that to continue through Q3 and Q4. And hence, Q4 will sort of perform at the levels of Q2 on a stacked basis versus four years ago. Even on a two-year stack basis, the assumption there is our Q2 was roughly 6.5%, steps down to 5.5% in Q3 and further steps down to 5% in Q4.
Udit Batra: So, when you -- so Josh, when you compare to previous years based on stacked and two years and four years stacked growth rates, Q3 or Q4 doesn't look any different than one another. And I think the question of budget flush, I mean both Amol and I have been on the receiving end of this when we were in pharma. The way it usually works is as you go through Q4, you see the CFO coming in and saying, hey, now I think I have visibility to my Q4 landing, go ahead and spend. And that's the dynamic that we've observed through and through all across our career. Even if it's a lower base, we expect that to modestly persist. But when you look at our competitors versus stacked two-year and four-year stacked growth rate, you don't see an acceleration in our assumptions.
Josh Waldman: Got it. And then I guess, as you think about the current environment and where you position the near and medium term guide back at the Analyst Day, I mean, do you think Waters is still positioned to grow 100 bps plus above the market? And maybe more important, what do you think is the right way to think about market growth in the medium term in an environment where pharma is a bit more -- pharma a bit more cautious?
Udit Batra: Crystal ball. Look, when I look at my crystal ball, I see tremendous unmet need in pharma. I see tremendous unmet need in the environmental segment with PFAS testing with battery testing in the industrial segment. And in pharma, in particular, I feel Waters is super, super well-positioned. Let me give you a couple of examples, right? We had the opportunity to comment on mass spec. There's a direct comparator when you just compare us to our peer group, we've grown 20% again this quarter, right, and you compare us to the ones we've already reported with my spec portfolios, they're a bit lower than this. So, we think we're gaining share with our new products. You think about our columns, right? I believe we have the best chemistry team in the industry that has really turned decisively towards solving problems for large molecules. And we've just introduced a column that's going to separate AAV and reduce sample size in that area dramatically, right? So, across the board, our innovation is targeted towards large unmet needs and we are gaining traction with our strong focus on execution. So, I think overall, we feel very good about how Waters is positioned. We feel we are already out-executing head-to-head many of our competitors in spaces where we're all together. And I expect that to be no different as the recovery accelerates. We're starting to see early signs of recovery in US and Europe. And again, as I said before, I'm not ready to call it yet until I have more than one data point. And as China recovers, we feel very well-positioned. So, yes, what we said on the Analyst Day still holds. Our core is very strong with strong new products with like Alliance iS, our adjacencies that we picked. We are already gaining traction across the board. And more on that as we go forward and we have more proof points in the other adjacencies as well, but feel extremely good about what we said. And finally, a comment on the margin. You've seen what we've done in Q2 and also the fact that we expect margin expansion both on the operating margin, 30 basis points on the operating margin for the full year despite the challenging environment, I think that should give you some confidence on the execution that we are seeing.
Operator: And that was the last question we have time for.
Udit Batra: Thank you. Thank you all for your questions and your participation today. And on behalf of our entire Waters team, I'd like to thank you for your support and your interest in Waters. Thank you, and have a wonderful day.
Operator: Thank you all for participating in today's conference. You may disconnect your line, and enjoy the rest of your day.